Operator: Ladies and gentlemen, welcome to the Group Q2 and H1 2024 Earnings Conference Call of Schaeffler AG. As a reminder, all participants will be in a listen-only mode. The present -- after the presentation, there will be the opportunity to ask questions. [Operator Instructions] At our reserved customer’s request, this conference will be recorded and the replay will be available after the call on the website. May I now hand you over to CEO, Klaus Rosenfeld; CFO, Claus Bauer; and Head of IR, Heiko Eber, who will lead you through the conference. Please go ahead.
Heiko Eber: Thank you, Operator. Ladies and gentlemen, I’m very happy to welcome you to our today’s call on the financial results of the second quarter 2024. The press release, the following presentation and our half-year report have been published today at 8 a.m. CET on our homepage. And since I’m sure that you have all taken notice of our well-known disclaimer, I would directly go ahead and welcome our CEO, Klaus Rosenfeld; our CFO, Claus Bauer, and both will guide you through today’s presentation. And for sure, afterwards, you will have the opportunity to ask questions. And now, without further ado, let me hand over to our CEO.
Klaus Rosenfeld: Heiko, thank you very much for kind words of introduction. It’s a pleasure to do these earnings call together with you for the first time and welcome to all of you. Exciting times, as you all notice. We will guide you today through the Schaeffler AG results. I say this up front. There was an announcement of our sister company yesterday, but this is an earnings call of Schaeffler AG. So I will say this up front. We’re not going to comment on that situation. Let me go to Page 4, where you have the key messages in the bullet points. Q2 sales up 4.2%. We’re proud to say that ATech is back on outperformance, also due to the growth in E-Mobility. The shining star of the year is certainly Vehicle Lifetime Solutions. Continued strong growth, two-digit. Now a third quarter of significant margin improvement. We are really happy about this and you saw we have an issue in Bearings & Industrial Solutions due to the market environment on the sales side. On the profitability side, also due to some one offset, Claus Bauer will explain. EBIT margin due to the situation in Bearings & Industrial Solutions, 4.9%. Certainly not what we would like to see, but something that now needs to be addressed. And free cash flow with €75 million in Q2 positive. If you compare that to the previous year, quarter Q2 2023, where we were at €103 million, the €75 million includes the one-off integration -- cash integration costs and also financing costs. If you add that back and normalize it for these two impacts, free cash flow was even better than previous year. You all remember what we did some days ago. We updated our combined guidance, A, due to the slightly weaker expected intake from Vitesco, but also due to the Bearings & Industrial Solutions situation. Sales growth unchanged, EBIT margin and free cash flow slightly adjusted downwards. This also takes care of our expectation that the second quarter -- the second half of the year will be rather a challenging environment. Transaction updates, we are on track to achieve day one. As we announced October 1st, all the preparations are on track. And I’ve said this before, integration is not final on day one, it starts on day one. The preparation is in very good hands and we look forward to the opportunity here to build an even stronger company. I think I can say here, I go up front, the current environment, in particular automotive, is from my point of view exactly a proof point why this acquisition, why this strategic transaction makes a lot of sense with our diversified approach. Highlights and lowlights on Page 5, I already mentioned that. Auto Tech, solid outperformance driven by growth and E-Mobility. The earnings are resilient due to our stable and highly profitable mature business. That will also drive us going forward. Vehicle Lifetime Solutions, the shining star. Market environment is challenging, weaker than expected. End market growth also in the industrial sectors. And for sure, Bearings & Industrial Solutions need some treatment. You remember the issues in China. But on top of this, there’s now operational one-offs that need to be dealt with. And for sure, we’ll put over time the right measures in place to bring this back where it should be. Business highlights, sales, the usual table on Page 7. Overall Q2 4.2% plus. You see here the stellar growth in Vehicle Lifetime Solutions, 27% overall in that quarter. That brings Vehicle Lifetime Solutions up to 16%. Bearings & Industrial Solutions below previous year quarter minus 3.6%. Weakness in particular in Europe but also in Greater China, the wind issue. And then Automotive Technologies 2 plus -- 2% with Europe growing, America’s growing, and the Asian market’s rather flat. You also see quite interestingly in the second quarter a little bit of a regional shift. Europe more or less stable. America’s now at 23% of the overall sales number, and Greater China 19%. So we feel good with that overall mix, and for sure it’s now up to us to make sure that we continue our profitable growth path in the next quarters. Automotive on Page 8. I think the numbers speak for themselves. You see here 4.6% margin in the first half compared to 5% I think is more or less at the same level. In this environment I think a good achievement and slight growth also when you compare the two half year quarters. We are pleased to say that E-Mobility grew double-digit with Europe and America driving it. And certainly engine and transmission systems is benefiting from the continuing and resilient ICE business. For sure our margin has impact from the higher cost for our customer projects and all the work that is at the moment done to bring the order books together. That is a slight negative. Order book Page 9. Proud to say that we generated €3.6 billion new order intake of which €2.1 billion comes from E-Mobility. If you compare that to the previous years we are absolutely on track. We have shown you two interesting cases that are not from E-Mobility but from the chassis area where we see that this is clearly getting more attention. The first one is a Chinese project. First nomination for a variable damping system received from a new mobility player. And then you also have an innovative park lock actuator for a next generation E-Mobility platform by a European OEM. Let me say this loud and clear, while there is certainly on the consumer side a little bit more softer demand for e-cars, we continue to believe that mid-term and long-term electrified powertrain solutions will be the future. Vehicle Lifetime Solutions next page, Page 10. Not much to say here. In sort of record result, 17.4% margin in the first half, 3 percentage points more than in the previous year and 17.6% growth in the previous -- in the between the half years. Gross margin at 33.6%. This is clearly now showing that all our investments in that business paid off. The market is behind us. But it’s not only market. It’s also all the positive things that Jens and his team have put in place. We’re really proud what we have here and it looks like that this continued growth will also be part of the second half 2024. Now, in terms of the Vehicle Lifetime Solutions, a little bit on the business. I think we can say we are leading the transformation here with a continuous preparation and development of the product for the future. You see here just examples also in terms of size. That’s quite impressive, and for sure, all our E-Mobility efforts will also pay off. So that’s clearly something that will continue to create value in the future. And then Bearings & Industrial Solutions, Page 12. I already said it. It’s a disappointing second half. Margin in the first second quarter, excuse me, margin in the first half, 5.5%. That’s definitely below expectations. It’s impacted by operational one-offs, but also by the market. Sascha has the task now to come up with a set of measures to bring this back where it should be and we will inform you as soon as we are ready to implement these structural measures. In terms of order book, you all remember the discussion in Q4, Q1. Is it turning now? And it looks like that there is no immediate near-term recovery. What is also not a surprise, given the macroeconomic and geopolitical situation. However, there are areas where we grow and where we also are successful in beating our competitors. Two examples here, but clearly the focus must now be on fixing the problems and we are on top of that. Capital allocation. Nothing to say here, other than we are continuing our disciplined way to allocate capital in the Group. You see here, CapEx in the first half, €383 million. This is still Schaeffler standalone for 2025. The numbers will definitely change. But our methodology will not. We will continue to manage this by reinvestment rates and you see it’s somewhere cruising around 1 as a mix of the high-growth businesses and the ones where we are harvesting. With that, I hand over to Claus for more details and certainly all the interesting explanations that you have on your Q&A list. Thank you very much.
Claus Bauer: Thank you. Thank you very much, Klaus. Ladies and gentlemen, also a warm welcome from my side. As Klaus said, I’m diving a little bit deeper into the financial results. First slide, sales. I would save some time here. All the numbers have been already explained by Klaus. Maybe just to emphasize on one number, Vehicle Lifetime Solutions. As Klaus said, 27% growth in the quarter. Really outstanding. Let’s go to the next slide. That’s where it gets interesting, gross profit and a little bit of explanation behind it. The left side shows that we are from a gross profit margin at the same level as last year. But the FX impact that you see in the waterfall chart with minus €19 million, the biggest impact in the entire numbers that are shown, and clearly, without that negative foreign exchange impact mainly coming from the Mexican peso to the U.S. dollar gross rate, we would be exactly at the same gross profit margin. Another interesting data point in that bridge is for sure the price with minus €6 million. So, not horribly negative, but also not significantly positive anymore as you have seen in the past. So price is stable in Automotive Technologies and Vehicle Lifetime Solutions, but there is price pressure in Bearings & Industrial Solutions, especially as we talk about the Chinese market. On the right side, at the bottom, you see the gross profit development quarter versus prior year and half year -- versus prior half year. And that just confirms what I said to the overall situation. The Bearings & Industrial Solutions surely significantly negative deviation compared to last year, but that is compensated by Vehicle Lifetime Solutions and Automotive Technologies, as Klaus said, stable and resilient. On the next slide, we come to the overhead expenses and it shows that it significantly grew over last year. Klaus already mentioned the main reason for that, especially in admin. The Vitesco transaction costs are there. We -- as you know, we adjust for them in EBIT, but not in the operating income yet, so it is still included here. If we took them out, we would be in the range of 16%, still a little bit higher than last year. And the two main reasons you see on the right side in the explanations, R&D costs are clearly higher than last year due to the project cost in especially E-Mobility and chassis. You saw the two examples in the order intake chassis programs and these programs similar than E-Mobility programs have higher upfront R&D cost, which is reflected here in the higher overhead ratio for Automotive Technologies. And Bearings & Industrial Solutions in the table at the right side on the bottom shows also a significant increase in overhead expense ratio, 1.8 percentage points. That is mainly driven by the fixed cost absorption effect with the lower topline. This number just increases mathematically. On the next slide, we then jump into the EBIT. A lot of numbers, as usual, on this slide. I will not comment here on that slide on the divisional performance yet. We will have detailed slides in the following. But let me use this slide to point out one significant impact also as it relates to the performance going forward and that’s shown in the fourth bullet point here. You might remember in the first half -- in the first quarter, we had almost a zero break even Vitesco at equity impact. That is now in the second quarter significantly negative with minus €18 million as you see. That is also explained a little bit more than in the backup on Slide 32. We are not going there, but just if you want to study that situation a little bit more. On the backup slide on Page 32, there is a half-year impact shown with minus €32 million and this impact represents the harmonization of accounting policies. So what we did now starting in Q2, we applied the Schaeffler accounting policies to the Vitesco operation. And as the Page 32 bridge shows, that has an impact of €32 million for the first half of the year. So what does this represent? This €32 million represents obviously only our shareholding of 38.9% and it also shows it after taxes because at equity, you include a net income number and not an EBIT number. So therefore, if you then recalculate that, that’s an impact of around minus €120 million for the first half of the year. Where is it coming from? It comes from the different interpretation of the most complicated accounting standards in IFRS. And that is IAS 38 and IFRS 15, which mainly deals with R&D expenses. And the Schaeffler approach in its accounting policy is much more conservative than the Vitesco approach, which both are in the range of what is acceptable. But again, and you’re obviously used to that from the Schaeffler side, we are -- if there is room for interpretation, we are mostly on the conservative end of things. And therefore, this result would be adjusted, the Vitesco result would be adjusted in our accounting policy logic for the first half of the year, €120 million lower in EBIT. So how does that now then develop going forward? Obviously, we are talking about not cash flow. Cash flow is not changeable by accounting policies. We are only talking about how do we accrue for the cost on an annual and quarterly basis. And therefore, in the face of increasing R&D expenses and increasing project volume going forward and that’s the case for both Schaeffler and Vitesco. We still will see a negative deviation based on Schaeffler accounting policies versus Vitesco accounting policies. Then we will reach at some point when the portfolio is stable, a plateau where both accounting policies would not generate any differences. And at the end of the period, we would actually see a benefit in the Schaeffler accounting policies because at the end of the total period, of course, the result has to be the same because that is then approaching the cash flow generation out of the project. So therefore, a little bit more accounting explanation than you most likely would like. But I think it’s important to also understand how results will be presented based on the Schaeffler accounting policies going forward. And as you can see, €120 million for half a year, so that’s around €60 million per quarter. It’s not a small number. Again, it doesn’t change anything in cash flow. It’s just a much more conservative accounting policy. If you are even more interested where the differences are, it’s really the different interpretation on the IAS 38, what is really new, what is a technological novelty that is much narrower in the Schaeffler accounting policy than in Vitesco’s. And then also, once you hit IFRS 15, the profitability burden for the Schaeffler policy is much higher than the one at Vitesco. Again, both are in the range of interpretation possibilities, but much more conservative accounting on the Schaeffler side, which obviously will be the accounting going forward. So now, coming back to the operational topics and starting with the divisions here, Automotive Technologies. Again, Klaus already mentioned it, E-Mobility with a very significant growth of 19.5%. The other business units a little bit lower than that, but outstanding E-Mobility growth in the current environment. That obviously is a testimony to the ramp up of significant new projects. You see then on the bottom left side the outperformance. We returned, as I have indicated already last year, that we will see outperformance this year. We indeed returned to significant outperformance of 270 basis points as shown here. It’s mainly based on a very strong outperformance in Europe and America. And greater China is still lacking the production volumes, but you might remember the gap that we have seen last year in greater China was almost double as high. So a significant narrowing of the gap. And please also remember what I explained in the first quarter already, that we now compare the Automotive Technology sales as composed with our new divisional setup. So excluding automotive bearings, the automotive bearings sales are included in Bearings & Industrial Solutions division, and therefore that is also hitting this outperformance, especially in greater China, a little bit. Because, and I call it the BYD effect, we are not participating at BYD with our traditional Automotive Technologies portfolio, including E-Mobility, but especially with automotive bearings, which are not shown here anymore. So if I would include automotive bearings in this number, the underperformance actually would be reduced to around 1.3 percentage points. So significant contribution in China with automotive bearings growth. The right side shows the EBIT development and the biggest number there is the SG&A expenses. These are volume driven, higher logistic cost, but there is also the allocated integration cost for Vitesco. That’s around €6 million of the €21 million. And then the next biggest negative number, at least, is the FX impact, which I explained mainly based on the Mexican peso, U.S. dollar situation, that I have also explained in the past and wouldn’t go into further detail here. So let’s then have a look at Vehicle Lifetime Solutions. As Klaus said it, the shining star, continuing to be the shining star. And I should spend much more time, but I’d rather talk about the issues and how we address them than really this. But let me just repeat the headline here. Very strong growth in all regions and very strong EBIT in the waterfall chart on the right side. It is shown that this is coming mainly from the gross profit development with the €17 million that’s shown here, mainly coming from volume, not so much anymore from price as you might remember from last year. So Bearings & Industrial Solutions, the division that needs attention and gets the attention, largely market-induced performance. We have negative growth in Europe and in China. And you see on the bottom left side also the sector clusters, renewables and industrial automation. Renewables, minus 29%. That is clearly the China wind impact that we are seeing here, and I mean, you just have to think minus, almost minus 30%. That is really hard to absorb. And the second negative number here is industrial automation with minus 15%. That is mainly the impact in Europe. So two of our very profitable segments here impacted by the market. On the right side, you see that reflected in the absolute reduction of gross profit of minus €55 million. Klaus already mentioned it, in this minus €55 million, there is also a significant or two significant operational one-offs and that is first inventory evaluation. Since we have a decrease of our topline, a significant portion of the inventory went into coverage-induced impairments of around €20 million. Now why do I say that is a one-off? Because we do not expect the sales decrease further. It will stabilize at the current level. And therefore, this impact should also be a one-time impact there and we are obviously also doing everything to adjust our finished goods inventory to the market conditions, but you always have a little lag in time, in reaction time to do that. So I would definitely declare that as a one-time impact. And the second one is an accrual for warranty claim that we are facing in our industrial business with also around €25 million. So that are the significant one-off impacts that we have provided for in this quarter, and therefore, also a significant driver behind the minus €55 million. On the or maybe before I start with the good news, one other piece of challenging news here is that there is also a significant negative price impact now for the second quarter included. That is also mainly coming from the competitive environment in China. But the good news is that negative price impact is almost completely offset by improvement in our production cost and productivity on the shop floor. So the technical measures are working. You are not seeing it in the EBIT margin admittedly or not yet due to the one-off impacts, but they are efficient and we are seeing that if you dig into the details. Coming to the next slide, not reading the numbers here to you. You all have digested it already. Earnings per share due to the situation that has been explained for the quarter looks weak. But I would ask you to look at the entire first half of the year. And for the entire first half of the year, we are at the same level as last year, and last year, remember, the first half of the year was the stronger half. So with the challenges that we are facing, with the macroeconomic conditions that we are facing, I think, a result that is acceptable. Let me talk about free cash flow now a little bit. Klaus already mentioned the main point, €75 million. First of all, it is positive. So we are on track. It is slightly lower than last year. But we also have the financing cost and the integration cost now with the Vitesco acquisition here reflected, and without that, it would have been even higher than last year. So I would say we are clearly on track here. The left top chart shows one interesting data point and that is networking capital. It is completely stable in the quarter. So that is good news, and even better news is that there is improvement potential definitely in the second half of the year. One, I already mentioned, we have and we are in the process of adjusting our inventory in industrial to match the weaker market environment, but inventory in general is something that we will continue to focus on and this number will turn positive in the second half of the year. So we will see a positive contribution of networking capital in our cash flow development as you would also expect in the second half of the year. And all that is if you look at the table at the bottom here for Q2 compared to prior year. We have very similar free cash flow generation power as I call it. That is free cash flow before M&A and special items and the €100 million now is actually less lower than the integration and financing cost, and therefore, clearly free cash flow is in the focus and is intact. On the next slide, we are then talking about mainly the leverage ratio with 2.4 at a level that is higher than I personally would like. It has its reason, especially in the development quarter-over-quarter, mainly in the payout of the dividend, which is impacting the formula. Now, with the starting of the second half of the year and what I just explained also in regard to the cash flow profile going forward, that clearly will plateau at the 2.4 level and then decrease towards the end of the year, and you, I think, remember and understand the explanation. With the first full year, full consolidation of Vitesco, then next year in 2025, that will have normalized by the end of 2025 to the levels that they are used to 1.5 or even below. And with that, Klaus, I would transfer to you again for the wrap-up.
Klaus Rosenfeld: Okay. Let me go to the last chapter, the outlook. I think you all digested already the updated guidance. It’s this complex combined guidance in 2025. This will go back to normal. You saw the adjustments to be on the safe side. We reduced from 6% to 9% to 5% to 8%. And also in free cash flow, we reduced to €200 million to €300 million. This is, I think, a very sound base also in light of a more challenging second half to be expected. I don’t want to go into more detail than just summarizing the key points here. I think the financial performance as described was robust in ATech. It’s going to continue to be robust also to the good diversification. VLS, strong contribution. BIS with issues that we will forcefully address. Balance sheet is strong. Outlook is, I think, clear. And the transaction update, I can only reiterate again, we are on track to achieve day one as promised. And as we always said, this is the start of a longer journey to build the leading motion technology company. We are enthusiastic about this. And for sure the year 2024 is an interim year where we’re laying the grounds for this, the -- more to come then with Q3 and the full year. Heiko is also laid out in 29. The financial calendar will be quite active with various conferences and we look forward to meeting again all of you on the 5th of November for our nine-month earning results. With that, I hand back to Heiko for questions.
Heiko Eber: Thank you very much, Klaus. Thank you very much, Klaus. I still need to get used to this one. So with the end of the presentation, we would now be ready to take the first questions. So back to the Operator.
Operator: [Operator Instructions] And the first question comes from Akshat Kacker from JPM. Please go ahead.
Akshat Kacker: Thank you for taking my question this morning. I have three, please. The first one on your Automotive margins for the second quarter. Could you just elaborate on the higher cost for customer projects? I think you did mention higher R&D for a few E-Mobility and chassis projects. Could you just elaborate in terms of what’s going on there? Is it something that should continue in the next few quarters or would fall away with the ramp-ups? The second question is on your growth assumptions for 2024. So your guidance still looks for considerable growth year-over-year. Could you just elaborate in terms of aftermarket? How much do you expect aftermarket to grow in 2024, please? And the last one on the industrial business division. Completely understand the operational one-offs here in the quarter, as well as the weak market environment. But if you could help us with the exit rate in terms of margins coming out of the quarter. Have you taken more cost actions? How does the exit rate or the margin profile look like going to Q3, please? Thank you.
Klaus Rosenfeld: Okay. Thank you for your questions. I start with the Automotive Technology margin and especially the R&D impact is indeed, as you said, there’s specific startup investments in E-Mobility projects. And I hope it’s okay if I’m not going into more customer-related detail there. These costs are also slightly higher than we would have expected it. But nothing out of the ordinary here. Going forward, you might see that continuing as we ramp up E-Mobility. However, also consider or think about the E-Mobility volumes currently. The volumes are depressed based on the current market sentiment. As the volumes will ramp up, these R&D expenses are covered by increased sales. So the impact on the margin will deteriorate and therefore will normalize. In regard to Vehicle Lifetime Solutions and the growth, you will understand that our growth assumptions going forward are not 27% every quarter from now on, as we have seen in the second quarter. If you look at the history of last year, then you see the second quarter was a relatively weak quarter for Vehicle Lifetime Solutions and the second quarter this year was an exceptionally strong quarter. We think that from a market demand standpoint that we will maintain the levels -- the absolute sales levels that we have seen in the second quarter. But as we then go against better prior year comparables, obviously, the growth rate in percent will normalize. There is no question that we will see for a little bit longer time, not forever of course, but for a little bit longer time growth rates in Vehicle Lifetime Solutions that are stronger than the general market here. That is because we clearly gain a market share due to our very good logistical performance, delivery performance and also because of our significant and comprehensive global footprint. And last but not least, Bearings & Industrial Solutions, how do we see it going forward? Also here, of course, you will not see a quarter of 2.5% going forward, let alone further one-time impacts that I don’t foresee any. But we will have to fight hard, and Claus already alluded to that, also define the necessary measures to return to the profitability levels under much more challenging market conditions in the sectors that we are strong in to then get back to the profitability levels that you are used to from two years ago. I can promise you that performance management is a strong focus of ours. We are in the phase of defining appropriate measures that will have not necessarily all the short-term impact, but you will not see another quarter with 2.5% in my view. I think you asked specifically how do we see the third quarter and maybe even the second half of the year. You might remember that we were rather optimistic on the industrial business and the recovery in the second half of the year. At the beginning of this year, this optimism I think is reduced. We don’t see the recovery as strong as we expected it when we started into the year. You see that also in the order development that Claus showed. It’s now plateauing still on a slightly negative level and that is indication that the second half of the year will stay challenging from a volume and market standpoint, and I repeat it again, especially as it relates to the sectors that are very important for us. And therefore, long story short, in my view, we would see a similar second half of the year than the first half of the year.
Akshat Kacker: Thank you so much.
Operator: [Operator Instructions] It seems there are no further questions at this time, so I would like to hand back to the speakers for any closing remarks.
Klaus Rosenfeld: Ladies and gentlemen, thanks for your attention. If you have time to enjoy the summer break, enjoy it and we will hopefully all convene and reconvene in November. And those of you that are meeting Claus and Heiko on the road, always welcome. Thanks a lot for listening and see you soon. Thanks. Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded and you may disconnect. Thank you for joining and have a pleasant day. Good-bye.